Operator: Hello, and welcome to Charter Communications First Quarter Investor Call. [Operator Instructions] Also, as a reminder, this conference is being recorded today. If you have any objections, please disconnect at this time. 
 I will now turn the call over to Stefan Anninger. 
Stefan Anninger: Thanks, operator, and welcome, everyone. The presentation that accompanies this call can be found on our website, ir.charter.com.  
 I would like to remind you that there are a number of risk factors and other cautionary statements contained in our SEC filings which we encourage you to read carefully. Various remarks that we make on this call concerning expectations, predictions, plans and prospects, constitute forward-looking statements which are subject to risks and uncertainties that may cause actual results to differ from historical or anticipated results. Any forward-looking statements reflect management's current view only, and Charter undertakes no obligation to revise or update such statements.  
 On today's call, we have Chris Winfrey, our President and CEO; and Jessica Fischer, our CFO. With that, let's turn the call over to Chris. 
Christopher Winfrey: Thanks, Stefan. During the first quarter, we lost 72,000 Internet customers. Despite lower Internet sales, we added nearly 500,000 Spectrum Mobile lines and close to 2.3 million lines year-over-year. We now have more than 8.2 million total mobile lines. With still low mobile penetration of Internet customers and passings, we have a long runway for customer and financial growth with the nation's fastest mobile service at incredible value.  
 Revenue was relatively flat in the quarter while adjusted EBITDA grew by 2.8%. And during the first quarter, our Internet customer growth remained challenged by a low-move and generally low-activity environment coupled with continued elevated competition at least in the short term and a small impact from fewer low-income connects due to discontinued ACP availability. Churn remains at historically low levels. 
 Telephone Internet continues to compete for gross additions and has expanded its addressable market within our footprint. And we remain confident in our ability to return to healthy long-term growth. Our Internet product is faster and it's more reliable. Our pricing is lower when similarly bundled with mobile. And the cell phone companies will face capacity challenges as customer bandwidth grows.  
 In the first quarter, wireline overbuild activity continued at a similar pace. And given the value of our converged products, we resisted chasing some less rational promotional offers from overbuilders.  
 As we move forward with our key strategic initiatives, we believe that our differentiated converged connectivity products with superior speeds, that save customers money, and a video product with increasing value and utility to customers, provide us with significant competitive advantages and a platform to grow customers, penetration, EBITDA and free cash flow over time.  
 In Internet, data usage continues to grow and demand for faster speeds will grow with it. During the first quarter, Internet customers who do not buy traditional video from us use nearly 800 gigabytes per month. And we now offer 300-meg, 500-meg and 1-gig symmetrical speeds in our first high split market.  
 Later this year, we'll begin launching the next wave of markets with distributed access architecture technology. When completed, we'll be able -- we'll be capable of offering 5 by 1 gigabit per second speeds in these markets with even better network performance. The next phase of markets will be upgraded to 10 by 1 gigabit per second speed and the ability to offer fiber on demand. 
 And ultimately, we'll see lower contact rates and truck rolls across these upgraded markets, achieving both lower cost and a superior product.  We expect to complete our network evolution initiative in 2026, all at an incremental cost to just over -- or just $100 per passing, excluding the benefit of operating and capital savings that result from the project.  
 Our mobile offering also continues to evolve and improve. Earlier this month, we began offering Anytime Upgrade to customers within our Unlimited Plus offering. Anytime Upgrade allows new and existing Unlimited Plus customers to upgrade their phones whenever they want, eliminating traditional wait times, upgrade fees and condition requirements. We are the first mobile provider to include this level of freedom within a rate plan. And we also recently launched a new repair-and-replacement plan for just $5 per month. Anytime Upgrade, part of Unlimited Plus, and our repair-and-replacement plan, are each profitable.  
 Spectrum One continues to perform well beyond its first anniversary and offers the fastest connectivity with differentiated features like mobile speed boost and seamless connectivity to the Spectrum Mobile network across Android and iOS devices. 
 We still have a lot of room to grow our mobile business. Today, less than 8% of our total passings take our converged offering of Internet and mobile. We remain underpenetrated despite having a differentiated and superior offering with market-leading pricing at promotion and retail. And from a dollars perspective, we captured less than 30% share of residential mobile and Internet dollars spent in our footprint today. Mobile will be a meaningful driver of EBITDA and cash flow going forward with what is still an untapped ability to drive overall customer relationship growth.  
 Finally, turning to the evolution of our video product. We now offer a unique modern user experience with Xumo, which offers both linear and direct-to-consumer content on one device, combined with packaging and pricing options that offer choice, value and utility across FAST, SVOD, direct-to-consumer apps and linear video services.  
 In January, Disney+ became available to all Spectrum TV Select customers nationwide at no additional cost, with ESPN+ launched to Select Plus customers in March. ViX, a Spanish language DTC product, and regional sports DTC products, will also be available to customers at no extra cost within their respective packages.  
 We expect our hybrid DTC-linear model to be fully deployed next year. And we'll be able to deliver value for our customers and programming partners through fully bundled hybrid services, genre-based packages, selling DTC a la carte and potentially bundled DTC services to our broadband customers.  
 In late January, we launched our Spectrum TV Stream package, a 90-channel non-sports general entertainment package priced at $40 per month. TV Stream provides a compelling content offering at an attractive price from programmers like Paramount, Warner Bros. Discovery, Disney, Fox and A&E.  
 And so while the video business is clearly under pressure, we believe that flexible and attractively priced packaging options across all forms of video, channels really, integrated within a modern user interface in a more frictionless environment can recreate value in the ecosystem for our customers, programmers and distributors.  
 So when we step back, we clearly recognized some short-term market challenges, and we've embraced the opportunity to become an even better operator, leaving no stone unturned in our go-to-market and our efficiency initiatives. And in the meantime, we're growing a unique converged product at a rapid pace which can grow EBITDA through a competitive investment cycle. In long term, our network and customer demand products, pricing and packaging capabilities, our service infrastructure and the associated investments we're making today position Charter for sustainable growth and value creation.  
 And with that, I'll turn the call over to Jessica. 
Jessica Fischer: Thanks, Chris. Let's turn to customer results on Slide 5. Including residential and SMB, we lost 72,000 Internet customers in the first quarter, and video customers declined by 405,000. In mobile, we added 486,000 mobile lines. And wireline voice customers declined by 279,000. Our mobile product continued to perform well. And although we saw lower mobile gross adds year-over-year tied to lower gross Internet additions, we also saw lower overall mobile churn rate year-over-year and sequentially.  
 Customers who signed up for our Spectrum One product in the first quarter of 2023 reached their 12-month anniversary this past quarter. Similar to last quarter, those promotional roll-offs did not drive incremental Internet churn. In fact, our Internet churn rate also declined year-over-year. So as we always expected, Spectrum One lines are performing well, and our converged offering drives higher mobile sales and longer customer lifetimes.  
 Turning to rural. We ended the quarter with 493,000 subsidized rural passings. And we grew those passings by 324,000 over the last 12 months and 73,000 in the first quarter. It's a bit of a slowdown from Q4, as we noted it would be on our last call, given winter construction seasonality. Penetration growth continues to exceed our expectations, and customer growth in our subsidized rural footprint increased with 35,000 net customer additions in the quarter. We continue to expect to activate approximately 450,000 new subsidized rural passings in 2024, about 50% more than in 2023. 
 We also continue to expect our RDOF build to be completed by the end of 2026, 2 years ahead of schedule. The RDOF and ARPA program rules have been successful in driving large-scale private capital builds. With respect to BEAD, most of the state's rules are still working through the NTIA review process. We expect some states will have a regulatory environment conducive to private investment while others will not. And we'll be disciplined in our investment approach with the continued expectation that some opportunities with appropriate ROIs will be available.  
 Before turning to our financial results, I wanted to make a few comments regarding the Affordable Connectivity Program. An ACP renewal now appears unlikely for the program's 23 million recipients nationwide and for our 5.0 million Internet customers receiving a subsidy. We will do everything we can to preserve our relationship with the ACP subsidy recipients, and we expect to keep the vast majority of them as customers. We have a number of ways to assist those that may lose their ACP subsidy, including our Spectrum Internet Assist program and Internet 100 product. We're also offering all of our ACP customers a free mobile line for 1 year.  
 The success of our Spectrum One offering has shown that we can create long-term converged connectivity customers by saving consumers hundreds or even thousands of dollars on their mobile bill. And even after the initial promotional period ends, we will still be able to save these customers the equivalent or more than the $30 ACP subsidy benefit that they are currently receiving.  
 The majority of ACP recipients in our customer base were Internet customers before the start of the ACP program. And the vast majority of our ACP customers also pay something out of pocket for their Internet service. Ultimately, we will lose some customers, and our Internet ARPU and bad debt expense may have onetime pressure, but we expect the impact to Charter to be mostly limited to the second and third quarters of this year. And we will provide transparency for those impacts in our quarterly reporting.  
 Moving to the first quarter financial results, starting on Slide 6. Over the last year, residential customers declined by 0.7%, driven by video-only customer churn. Residential revenue per customer relationship declined 0.1% over-year, given a higher mix of non-video customers and growth of lower-priced video packages within our base, mostly offset by promotional rate step-ups, rate adjustments and the growth of Spectrum Mobile. As Slide 6 shows, in total, residential revenue declined by 0.4% year-over-year.  
 Turning to commercial. SMB revenue declined by 0.3% year-over-year, reflecting lower monthly SMB revenue per SMB customer primarily due to a higher mix of lower-priced video packages and a lower number of voice lines per SMB customer. These factors were slightly offset by SMB customer growth of 0.2% year-over-year.  
 Enterprise revenue grew 3.8% year-over-year driven by enterprise PSU growth of 6.9% year-over-year. Excluding all wholesale revenue, enterprise revenue grew by 5.5%.  
 First quarter advertising revenue grew by 10% year-over-year given political revenue growth. And core ad revenue was essentially flat year-over-year. 
 Other revenue grew by 2.4% year-over-year primarily driven by higher mobile device sales. And in total, consolidated first quarter revenue was up 0.2% year-over-year and down 0.1% year-over-year when excluding advertising. 
 Moving to operating expenses and adjusted EBITDA on Slide 7. In the first quarter, total operating expenses declined by 1.5% year-over-year. Programming costs declined by 8.2% year-over-year due to the decline in video customers of 8% year-over-year and a higher mix of lighter video packages. These factors were partly offset by higher programming rates. And first quarter 2024 programming costs include around $30 million of favorable adjustments versus $50 million of favorable adjustments in the prior year period. 
 Other cost of revenue increased by 9.8% primarily driven by mobile service direct costs and higher mobile device sales. Cost to serve customers were essentially flat year-over-year with additional activity to support the growth of Spectrum Mobile and higher bad debt expense, mostly offset by lower service transactions per customers, including productivity from 10-year investments. Sales and marketing costs declined by 2.7% primarily driven by lower labor costs, partly tied to lower connect volume. Finally, other expense grew by 0.5%. 
 Adjusted EBITDA grew by 2.8% year-over-year in the quarter. And when excluding advertising, EBITDA grew by 2.2% year-over-year. Looking ahead, our goal is to deliver solid EBITDA growth, and we believe we can do that even as we make significant investments in the business, face a challenging competitive environment and reach the likely end of the ACP program. 
 Our residential revenue will be supported by Internet ARPU growth and our growing mobile customer base. In addition, mobile's contribution to EBITDA continues to improve as the business scales. We've also lapped the significant investments that we made in our employee base, so the related EBITDA drag should be mostly behind us. 
 And finally, we continue to carefully manage our expenses across the business. And while we're not going to do anything that would impact our sales or service capabilities, this quarter's cost to service customers and sales and marketing expense results demonstrate our ability to drive efficiencies into the business. 
 In the second quarter, we will face some tough expense comparisons, particularly in other expense as well as ACP headwinds. So while our second quarter EBITDA growth will be muted, our expense management process is clearly working. And financial growth in the back half of the year should accelerate given our expense management initiatives, Spectrum One promotional roll-off and political advertising revenue. 
 Turning to net income on Slide 8. We generated $1.1 billion of net income attributable to Charter shareholders in the first quarter, up from $1 billion last year, driven by higher adjusted EBITDA and a gain on the sale of towers, partly offset by higher income tax and interest expenses. 
 Turning to Slide 9. Capital expenditures totaled $2.8 billion in the first quarter, about $325 million above last year's first quarter spend. Line extensions totaled $1 billion, $69 million higher than last year driven by our subsidized rural construction initiative and increased residential and commercial greenfield and market fill-in opportunities. 
 First quarter capital expenditures, excluding line extensions, totaled $1.8 billion compared to $1.6 billion in the first quarter of 2023 driven by higher spend on upgrade, rebuild, primarily network evolution, and higher CPE spend due to purchases of Xumo Stream boxes. For the full year 2024, we continue to expect capital expenditures to total between $12.2 billion and $12.4 billion, including line extension spend of approximately $4.5 billion and network evolution spend of approximately $1.6 billion. 
 Turning to free cash flow on Slide 10. The cash flow in the first quarter totaled $358 million, a decrease of approximately $300 million compared to last year. The decline was primarily driven by an increase in capital expenditures and a onetime settlement payment in the first quarter of 2024, partly offset by a less unfavorable change in working capital year-over-year and higher adjusted EBITDA. 
 We finished the quarter with $97.8 billion in debt principal. Our current run rate annualized cash interest is $5.2 billion. Given our long-dated and 85% fixed rate debt structure, our sensitivity to higher rates is relatively low. If we refinanced all of our debt due in 2025 and 2026 at current rates, the impact to our run rate interest expense would be less than $140 million. 
 As of the end of the first quarter, our ratio of net debt to last 12-month adjusted EBITDA was 4.41x, which is lower sequentially and year-over-year. We expect to continue that trend, moving closer to the middle of our 4 to 4.5x target leverage range through the end of this year. 
 We remain fully committed to maintaining our split-rated debt structure, including access to the investment-grade market given the significant benefits it offers to all of our providers of capital. And we continue to be confident in the long-term trajectory of the business. We believe that our levered equity strategy, including share buybacks, combined with the investments that we are making in the business, will drive value going forward. During the quarter, we repurchased 1.7 million Charter shares and Charter Holdings common units totaling $567 million at an average price of $339 per share. 
 With the continued temporary impact from cell phone Internet competition and the potential headwind from the end of ACP, we will continue to face short-term customer growth headwinds. Despite these short-term challenges, we are competing well. We have a very attractively structured balance sheet, and we're focused on driving healthy EBITDA growth in 2024 through a short-term competitive and investment cycle. So we're well positioned today and for continued future growth. 
 With that, I'll turn it over to the operator for Q&A. 
Operator: [Operator Instructions] Our first question will come from John Hodulik from UBS. 
John Hodulik: If I could follow up on the ACP comments, first of all, just any additional color you guys can provide over the -- on the subscriber and ARPU impacts to that program winding down in the second and third quarter. And it sounds like given the cost-cutting opportunities and the commentary, you still believe you can grow EBITDA for the year. That's number one. 
 And then number two, I thought the commentary about the churn on the video side from the Disney renewal was interesting. Chris, is that a trend that you expect to continue, especially as you sort of roll over your existing or you go through more renewals and add more D2C services to your lineup? 
Christopher Winfrey: Sure. Let me try to tackle those, and Jessica may want to chime in here as well. The first one is on ACP and what we estimate. John, the non-renewal of ACP, there's 23 million customers have it today. It's unfortunate. But it's certainly going to have a negative Internet customer growth impact for everyone, including us. And that's going to happen in what's already a seasonal Q2 and probably the third quarter as we work through likely non-pay activity. And so really, as you think about the extent of those losses, it's going to depend on a few things. 
 One, first, being the stickiness of our retention offers. That includes us doing a free mobile line as well as for all ACP customers. That allows customers to save as much, if not more money on a monthly basis than the subsidy we already offered by ACP. In some cases, it can be much closer to EBB or maybe even more. 
 And we do have a Spectrum Internet Assist. We have Internet 100. So we have products that we can move people to as needed. And so the second thing I would say is it's going to depend on how well we really execute on those retention tactics that matters. And then thirdly, the way that we manage what's going to be likely an elevated non-pay environment and really managing that to the best of our ability for the benefit of customers. 
 In terms of specifics, this is an event that's unprecedented. In almost 30 years of cable, I haven't seen something like this before. So the short-term impact, it's difficult to predict. But in the end, I'm really confident we're going to manage through it successfully. It will be a onetime event, both on subscribers and maybe initial suppression of ARPU, but it's not going to impact our long-term growth potential. 
Jessica Fischer: Yes. As you think about EBITDA across the year, as we pointed out and I would just highlight it, there are some pressures on EBITDA in Q2 because of the comps to last year as well as likely, if there is non-pay impact, there could be some bad debt pressure inside of Q2 as well. So I would expect our EBITDA growth to be more pressured in Q2. 
 But we see the ability for it to accelerate across the rest of the year when you consider the roll-off of Spectrum Mobile, political advertising and our continued expense initiatives in the business as well. And so because of that, in all of the scenarios that we've looked at, we continue to expect EBITDA growth in the year. 
Christopher Winfrey: Yes. And so EBITDA, we're very confident on that. Giving a hard estimate on subscriber impact, for all the reasons I mentioned, is difficult. But we're going to outline that quarter by quarter. We'll have the ability to isolate. We'll provide that transparency for people along so they can see what's the underlying growth rate. 
 Your other question, John, I want to make sure I understand, was on video churn. We rolled out -- at the beginning of the quarter, we rolled out the Disney+ to all Spectrum Select customers and above and to Select Plus customers, which is our more sports-oriented package on top. We rolled out ESPN+ in March. Very early on, good take-up on that product along the way. But there was nothing that was a rotation of our subscriber base inside there. So there was not a negative contributing factor to adding those in. 
 I would highlight, in an environment where video these days really is coming in as an attach rate to Internet, we have lower Internet sales opportunities that has an impact on video. So the video churn rate stays relatively consistent. But the combination of having both lower selling opportunities for Internet and therefore lower attach rates for video, combined with the fact that we did do a programming cost increase pass-through inside of Q1 contributed to the video loss inside the quarter. 
 I do think that as we add more bundling of these DTCs in a hybrid linear model over time, I think we have the ability to stem a lot of the churn and actually add back to both the gross addition side coming from potentially new calls coming in, but also higher attach rate to Internet primarily as we provide more value into the package, which offsets the significant programming cost increases that we've been forced to pass through. Does that answer where you're trying to get to? 
John Hodulik: Yes, that's perfect. 
Operator: The next question comes from Benjamin Swinburne with Morgan Stanley. 
Benjamin Swinburne: Just maybe unpacking the EBITDA outlook a little bit more. Jessica, last quarter, you gave us some helpful guidance on a few expense line items for the year. I think programming, cost to service and marketing come to mind. I don't know if you had any updates on any of those given some of the moving pieces. I just wanted to check on that. 
 And then secondly, for either of you or both of you, just on broadband competition. Could you spend a minute just talking about sort of how you see your product competing right now with fixed wireless, which is sort of everywhere or in a lot of markets, and then the wireline overbuild piece? Because fixed wireless net adds at the industry level this quarter, or cell phone Internet just to stay on brand here, were down year-on-year and a bit lighter than at least we were expecting. So it does seem like that product is starting to mature here. But you also called out wireline overbuild sort of pricing at a discount in the market as well. So I'd love to hear your updated thoughts on sort of the competitive framework you're thinking about this year. 
Jessica Fischer: So Ben, on the line item expense guidance that we gave earlier in the year, I don't have an update to any of those specific items. But what I would tell you is that, because of some of the work that we're doing around expenses across the business, I think it's possible that we come in lower than what we guided to, to begin with. I don't have a revision, but I think it's possible we come in on the low side. 
Benjamin Swinburne: Okay. Even with the bad debt comment you made earlier? 
Jessica Fischer: So that's a fair call out. The exact amount of the bad debt related to ACP is hard to predict because it's a matter of what the mix is between customers that go non-pay and customers that sort of contact you in some other way. So that's fair call out. 
 On items other than that, I think the possibility is that we do better. 
Christopher Winfrey: You've got a lower transaction environment, plus all the expense management activity that we're doing, and that will have significant impact to cost to serve as well as sales and marketing as well. 
 And the broadband competition, maybe just take a step back and talk a little bit more detail about the operating environment and competitive and the results in that context. 
 The first thing I think is important to just keep in mind is that our churn, it continues to be at or below historic lows, so very good. And bear with me, but we actually performed a little better in the first quarter in competitive switching versus last year. Which then somebody said, "Well, wait a second, how does that work?" 
 And the real issue has been selling opportunities for broadband were actually much lower in the marketplace year-over-year, and that's driven by continued lower year-over-year move and household formation rates. There is some reversion to pre-pandemic mobile-only levels the past 2 quarters. 
 And at the same time, as you mentioned, there's still some cell phone Internet expansion, and that's competing what is for a much lower opportunity set. So if you add to that, then just a bit of impact from the removal of ACP connects that started in early February, that's really what drove us to the loss of roughly 70,000 Internet. 
 Ben, as you know, in this environment, small shifts in gross adds in particular, or even churn, which hasn't been the case, it just really has an outsized impact on net adds. And so that's going to definitely, as I mentioned before, it's going to be the case in the seasonal Q2, also with the end of ACP, all of which is temporary in nature. 
 I think the bigger question is what are we doing? And as I mentioned, we still know, and I think everybody agrees, we have the best products. And we have it at the best all-in price, particularly when you're combining broadband and mobile, which is, in a lot of cases, what we're competing against. Our network evolution to symmetrical and multi-gig wireline and wireless capabilities, and we're doing that at a low cost of $100 per passing. And then as I mentioned, we have the expansion of that best-in-class network and converged products to homes with no broadband today. 
 So in essence, what we're doing is we're still very competitive saving customers lots of money with fastest products. And we do that with a 100% in-house onshore service structure. And when you put that together with what I mentioned in the prepared remarks is continued increasing customer demand for data, it means we're very well positioned to return to sustainable growth over time. 
 And the key for us really is, in the meantime, we're heads down on execution. It doesn't mean that we don't have short-term opportunities. We're leaving no stone unturned on go-to-market. We have great assets and ability to package and price in I think ways that are new and innovative. 
 And what we're trying to do in the meantime as well, you mentioned on wireline overbuild in particular, still be very disciplined around the pricing because we know the value of our products. And so we saw a few overbuilders go a little bit downstream during the quarter. And we've resisted the temptation to go there just because we know the value of our both wireline and wireless services and the value that we can bring to customers long term. 
Operator: The next question comes from Jonathan Chaplin at New Street. 
Jonathan Chaplin: I guess the first one for Jessica, just on the change in your leverage target navigating towards the midpoint of the range. Would love to just get some more context on the thinking behind that. You sort of mentioned earlier in the script that the risk of higher rates isn't a material concern. And so this navigating down in the leverage range just reflect lower confidence in the cash -- the sort of the cash generation in the business given the competitive environment? 
Jessica Fischer: Yes. So Jonathan, I would say our confidence in the business hasn't changed. We remain comfortable with our 4 to 4.5x range based on the outlook that we have. But I think being sort of at the height of the investment cycle, we thought that creating a little bit of headroom was appropriate. 
 We constantly reevaluate our position. We'll continue to do that. But we continue to believe in the long-term trajectory of the business. We think the investments that we're making will deliver strong returns. And we know that maintaining the levered equity strategy, including sort of buybacks and leverage levels overall, is important to continuing to drive value. 
Christopher Winfrey: I would just add on -- just to add, Jessica said it, 0 lack of confidence. We have good, strong free cash flow today, have even growing free cash flow, and much more so as we get through these onetime investments. It's really -- as Jessica has already said, it's about making sure that we ensure the investment-grade structure we have. And that's important to us, it's important to our debt holders, and it's important to our equity holders as well. 
Jonathan Chaplin: And Chris, just a follow-up on that. Were the rating agencies sort of asking you to bring leverage lower in the range? And are there things that you could look -- that we could look for in the business that would make you feel comfortable to go back to the high end of the range over the course of the next few quarters? 
Jessica Fischer: Jonathan, we're in regular contact with all 3 of the ratings agencies. Certainly, I think that there has been some additional conversation across debt holders and the rating agencies, given the higher CapEx that we have in the business and the sort of short-term pressure that, that puts on free cash flow. 
 And given sort of the tone of the broader market, you might have seen S&P issued a tearsheet at the end of last week that addressed ACP and the competitive environment. And I think their concerns are similar to those of equity holders, though they noted in there that they don't expect our ratings to change even though they might adjust their triggers somewhat. And even if our corporate family ratings were to change, they didn't expect any impact to the investment-grade rating. 
 So we constantly communicate with them. I think that given where we are, it made sense for us to create a little bit of headroom. As I said, we constantly reevaluate. It's certainly possible that we could move back up in the range at some point in time, particularly as you think about sort of free cash flow growth coming back as the investments winds down. 
Christopher Winfrey: And so I'd put that one to being responsive, and at the same time, given the current stock price, we want to do as much as we can within that responsiveness. 
Jessica Fischer: Yes. 
Operator: The next question comes from Craig Moffett at MoffettNathanson. 
Craig Moffett: Chris, I want to -- maybe 2 questions. One broader sort of more strategic question and then just one clarification from Jessica. On the first one, you said something to me a while back that I've been thinking about, about the way you think about convergence. And you characterized the Spectrum One offer not really as an offer but sort of as a new product category. 
 I wonder if you could just talk about that a little bit and particularly in the context of AT&T talking quite frequently about their converged offering in the portion of their footprint where they have it. T-Mobile now with their Lumos deal yesterday, obviously sort of searching around for a converged offering. How much of the market is actually going in that direction? 
 And then, Jessica, just one minor clarification. Could you just let us know how much is left of wholesale in the business services market? So that we can understand when we might start to see the overall growth rate start to look more like the non-wholesale part of your business? 
Christopher Winfrey: So Craig, I'll start on the first one on convergence. And I think the best way to do this is I spend a lot of time internally talking about it as well, is if I asked you 15 years ago, what's the speed of your Internet connection? You would have connected to the back of the computer in your kitchen, and that would have been it. And 10 years ago, it might have been, here it is on WiFi on my couch or out on the terrace. 
 And today, if you're pulling out of the driveway and driving out and I say, "Who's your Internet provider right now?" You'd say, "I don't know, I don't care. It just has to work and it has to be fast." And if that's people's definition increasingly of what's broadband connectivity, then we're the only provider in our footprint that can provide that uniform, ubiquitous broadband Internet in a seamless connectivity way. 
 And so we have the Internet. We have the WiFi. Our 5G cellular is a backup service when Internet and WiFi isn't available. And over -- last we reported, it was 87% of our traffic was going over our WiFi and increasingly with CBRS.
 So 5G, interestingly, it's the backup radio. It's the slowest portion of our network. And when you put that all together in a way that I think we're uniquely capable of doing, we have the ability to offer something in the marketplace. 
 Now the challenge is that's not the way that it's been sold. It's not the way that customers think about it explicitly today in terms of how they purchase service. So there's an education challenge that's there in the way that we package, price and market that along the way. We'll have a meaningful impact. 
 Another way of thinking about it is that mobile today, and in fact I would argue, always has been, is just an extension of an Internet connection. And is it really a product? Is mobile a product? Or is it just an extension? Because even in 15 years ago, it's really a wireline service going to a tower, and that was just extending the broadband connection. And today, we're doing that from WiFi inside the home, out on strand. And we have the ability to provide that service in a ubiquitous way that is competitive. 
 And so Spectrum One, the idea is how do you educate the market and try to get the purchase habits to change in a different way. And over time, is mobile really a product? And testing and pushing the limits in the market, I think we have something here that's a competitive advantage, and it just may take a little bit of time to fully flesh its way out. 
 But we are that service provider today, not only to ourselves, but we're actually providing that backhaul service to foreign cellular devices on our WiFi routers today. And we are the backhaul and the backbone of almost all cellular traffic. So it just puts a unique opportunity for us to capitalize on that in the future. 
Jessica Fischer: Craig, on the other side, wholesale is a little less than 20% of overall enterprise revenues. 
Christopher Winfrey: And the piece of that, the piece that's pulling that is really cell tower backhaul... 
Jessica Fischer: Yes, and that's really a little less than half of that piece. 
Christopher Winfrey: Right. So the traditional wholesale is relatively steady, and it's the cell tower backhaul that's in systemic decline, if you will. 
Operator: The next question comes from Bryan Kraft with Deutsche Bank. 
Bryan Kraft: I had 2 if I could. First, Jessica, related to free cash flow. I was wondering if you could size for us the onetime payment in the first quarter that impacted free cash flow. And also if you could help us understand how you're thinking about working capital usage this year.
 And then, Chris, just on network neutrality. I was wondering if you could share your thoughts on the SEC's recent reinstituting of net neutrality rules. Any concerns with the rules? Do they impact the way you're running the business in any way, whether it's on the home broadband or on mobile side? 
Jessica Fischer: Yes. So Bryan, the onetime payment that impacted free cash flow on the order of $150 million to $180 million, in that range. And then from a working capital perspective, Q1 is always for us a negative working capital quarter. And I fully expect that we'll sort of make back to close to flat over the course of the year the negative working capital that we had. Excluding working capital, excluding the mobile device or the mobile side in the first quarter. Obviously, mobile continues to be a drag on working capital because of the device sales, and so you should expect that piece to continue. 
Christopher Winfrey: Bryan, on the net neutrality, I'd start from the get go. We don't -- the key concern isn't net neutrality. The concern is the Title II regime. We've -- we don't block. We don't do paid prioritization. We don't throttle, and we don't even have data caps. We believe that customers should have unlimited usage of the service that they're paying for. 
 The question has really been around Title II and what that brings, things around forbearance on rate regulation, the additional unintended consequences of where that can lead to on regulation for a product that, without regulation, is that type of regulation has been very successful to delivering tremendous value for consumers over a couple of decades now. 
 I would say that where we're at in the Title II debate with the FCC, there's 0 surprise. It's exactly where everybody thought we would be, and we're going to continue to go through that process. Unfortunately, it seems like over many years as this kind of works its way probably back to a court at this stage. And then hopefully, over time, we can get a standard set by Congress that puts this to bed once and for all. That's always been the hope. But I don't think Title II is the right way to regulate the things that we're already doing well. 
Operator: The next question comes from Michael Rollins at Citi. 
Michael Rollins: Two questions. First, with respect to the residential broadband ARPU performance, can you unpack the benefit in the quarter from the Spectrum One promotions rolling off? And how the potential benefit of this in terms of size can move through the year as more customers start getting back to maybe the normal course rate levels? 
 And then just secondly, in the press release for quite some time now, you noted customers, and I hope I'm framing this right, that are broadband subscribers where there may have been some suspension of collections for other Charter services. And I'm curious what happens to those customers if ACP is discontinued? And do those disclosures provide any insight on how to quantify potential customer risk or churn risk if this program is discontinued? 
Jessica Fischer: Yes. So starting on the first one on the Internet ARPU. The Spectrum One allocation was 70 basis points of drag year-over-year on our net ARPU growth in the quarter. So the GAAP Internet ARPU increased by 1.7%. It would have been 2.4% excluding the mobile allocation for free lines. Generally, I would expect that the gap in those 2 growth rates should narrow over the course of the year because the base of free lines becomes more stable given promotional roll-off. 
 However, I talked about that we are offering all of our ACP customers a free mobile line for a year. And depending on the level of success of that program, if we did see a reacceleration in the number of free lines, the gap between those 2 things could widen again. 
 Talking about what you see inside of the footnote and the aging. So we have had a process over time where we save customers into ACP. So if there was a customer who took multiple lines of business, say they were an Internet and video customer, and they were paying us. And then went into a non-pay status but they were eligible for ACP. 
Christopher Winfrey: Or in it, in most cases. 
Jessica Fischer: Or already in ACP. What we would do would be to downgrade the customer to an Internet-only product that was fully covered by the ACP subsidy, which enabled them to continue their Internet service. But then they would no longer have whatever the additional services were that were on their accounts. We have held those balances, though they're fully reserved. So they're sitting in receivables, but they're also sort of fully written off already in the bad debt reserve process. 
 But you're correct that numerically inside of the footnote, then you can see the base of customers who at some point in the past went into a non-pay process but have had their bill fully subsidized by ACP for some period of time. 
Christopher Winfrey: And if you think about it just from a customer perspective and how we were trying to be responsive to the government request, we wanted to make sure that these customers entering into collection cycle on video or phone didn't somehow suppress their ability to continue to receive the ACP benefit and continue to receive connectivity. And it's -- that's a classic example of the base of customers that we're going to work through, as I talked about from a collection cycle. And do the right thing for those customers to do everything we can to make sure that they stay connected to Internet over time. But there's challenges there. 
Michael Rollins: And are you choosing to implement the ACP wind-down at the end of April? Or are you planning to go through mid-May with your customers? 
Christopher Winfrey: We'll go through the month of May with a partial ACP in accordance with what the government outlined. It's going to be a partial credit of $14, and we've agreed to make it $15 just to round it and make it clear to -- and fair to customers. So that's what we'll do inside of May. 
Operator: The next question comes from Vijay Jayant with Evercore. 
Vijay Jayant: Chris, given your focus on improving the video consumer proposition, I think you have a pretty substantial programming contract coming up very shortly. And what [ you sort of saw ] with the Disney agreement. Can you just talk about, is there a big [ opportunity ] there to sort of resize your programming costs associated with that sort of portfolio of channels? 
 And second, I saw that your buyback authorization is somewhere around the $260 million. Is that something that's going to be re-upped? 
Christopher Winfrey: So on the first question, the connection was a little off, and so we're going to sell you a Spectrum Mobile after this call here. 
 But the -- so I'm going to want to take the liberty of answering the question I think you asked. Look, we don't get into detail on individual programming renewals, and we've been generally very successful at getting renewals throughout the years. That's always our goal. 
 Our goal, though, is to really make sure that, first and foremost, that we really change the model so that we, once again, create value for customers. That starts with not asking them to pay twice for the same product, which is the debate that we've had historically and where we set a new model. 
 But it also means approaching the marketplace in all of our deal renewals and saying, "Look, we've got to fight for the customer." And if they have a path to get a product that's equivalent or in some cases, even better for a lower price, we should just be selling that product, and that's the way that we should go to market. 
 And we can have that ability to do traditional linear hybrid. We can sell DTCs. We can sell them in a bundle. We have 25,000 in-house sales representatives in sales and retention. And so we have a workforce that's very capable of being a distribution engine for linear hybrid, DTC. And we have a large base of broadband customers, none surpassing us, that we can use that's unique. And we want to do that in a way that creates value for consumers. 
 I think as we've approached the marketplace in what is a different way, it creates consternation because it's something very different. But our goal here is really to create a video ecosystem that works for customers and providing utility and value. Again, utility through Xumo and value through our ability to package in different ways that meets the customers' needs at a fair price. And ultimately, while it may be painful along the way, actually creates value again for programmers and distributors and recreates a video ecosystem that works for everybody. 
 And so we're not approaching this from a way of just trying to save money. We're just trying to actually create value for customers by either adding more product so that the price they pay is worth it or saving them money because they wanted to package anyway. And we can do that in a way in a lower churn environment for the benefit of programmers, and that just takes a little bit to get through. 
 But our goals here are really to recreate a video ecosystem that works for everybody. Today, it doesn't. It's been broken, and it's been broken for a while. And I think that we had the first time in maybe 2 decades where we can do something where we have a product that we're proud to put on our Internet bill at some point soon. 
 And that really is, when we talked about it last year, is the balance of, on one hand, our bundled customers churn less. And so a high-quality video product has always been an asset. But when the rate continues to go up and the value goes down and it's being sold around customers and ask them to pay twice, then it becomes a liability on the Internet broadband bill. And then I think we need to rethink the way that what we're selling for video and how it actually creates value for customers or not. 
 So that's where we've been. And I'm confident we're going to continue to make progress in this space. 
Jessica Fischer: On the buyback authorization side. I'm going to make sure we answer that question. The authorization as of the end of the quarter, as you pointed out, is a little bit lower than what you would typically see. There are multiple mechanisms by which that gets renewed, and we have increased the buyback authorization since that point in time. And just because of the readthrough to that, I want to be really clear that we expect to be able to maintain our buybacks over the course of the year even as we delever. So you should not read that through as any sort of sign about the direction of the program. 
Stefan Anninger: Operator, we'll take our last question, please. 
Operator: The last question will come from Steven Cahall with Wells Fargo. 
Steven Cahall: So Chris, earlier, you said you're confident in returning to long-term growth, and you spoke a lot about the overbuilding activity that you're seeing. I think the challenge many of us have is when we pencil that out and kind of think about penetration of fiber and then we look at your passings growth and think about penetration as well, it's just tough to see when things return to growth on the subscriber side, maybe ex rural. So I was wondering if you could just give us any thinking as to your color and timing when we might start to see subscriber growth reaccelerate to a positive level. 
 And then Jessica, just picking up on Bryan's question. You talked about maybe mobile being a bit of drag in working capital this year. So as you start to do the ACP lines for mobile, could that accelerate the drag for mobile working capital on handsets? Or do you not expect the customers to necessarily be acquiring new handsets? 
Christopher Winfrey: So I'm not going to provide a detailed timeline for the timing to reaccelerate, just because I want to be conservative and recognize that it's a very fluid space. I mean, clearly, we have ACP going on right now, which is going to be a onetime hit. You have cell phone Internet where they will reach capacity, and the timing of that isn't entirely clear. And then there's fiber upgrades, which have been announced and are pretty far along from what was actually announced. 
 So I think if you put that all together, though, and flip it and say, well, get past ACP, and the pace of fiber upgrades is relatively stable, and I think over time should actually start to decline. Cell phone Internet will run out of capacity, and you're already starting to see some signs of some of that paring back, all of which bodes well. 
 And then you combine that with the fact that when you look at our -- the quality of our Internet product, in 100% of the market, particularly and even more so in those that don't have a gig overlap, which is about half. And then you combine that with the unique ability to provide a very attractively priced mobile product that's actually the fastest mobile product in the business simply because it largely rides on our gigabit wireless infrastructure, we have a structural advantage for now and many years to come, not only just on quality, but the ability to save customers hundreds and even thousands of dollars. 
 And so I sit back and look at that and say, it isn't a question of if. It's just a question of when. And as some of these short-term pressures pare back, that's when you'll start to see it turn. 
 Honestly, we haven't been the best at predicting the exact timing of that. And so I said last quarter, we owned that. And so I want to be careful that I'm not overextending ourselves here either. But I think it's more important just to take a step back and look at what is the product we have, what's the network capabilities we have. It's only getting better. 
 If you then tack on to that the rural passings, that you mentioned ex rural, so I did that ex rural. But if you add on to that the subsidized rural passings where it's just math in terms of the penetration, the net additions that we're going to get on the back of that investment, I still think the future's very, very bright for Charter. 
Jessica Fischer: On the mobile working capital side, so you point out, without a doubt, the drag on working capital is driven by the number of phones or other mobile devices that you sell subject to EIP notes. And so if we were to end up with additional devices because of having additional mobile customers as a result of our work on ACP or if we end up with some additional devices because of the Anytime Upgrade program, which is also possible, there could be some acceleration in that drag. 
 What I would tell you on the other side of that is, as we've been building our mobile business, we haven't taken advantage of some of the financing options that are available for us related to having those EIP notes as part of our overall asset stack. And it hasn't yet made sense for a wide variety of reasons, including just sort of building the scale for a program like that to make sense. 
 So I think it's also possible that we could offset some of that drag in working capital by working through some of those financing mechanisms. And certainly, as we've been building, I think we're reaching a size at which that becomes a more viable option. 
Christopher Winfrey: Good. Well, thank you, everyone, for joining the call. And look forward to talking to you again on the next one. 
Stefan Anninger: Thanks, operator.